Operator: Good afternoon. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the iHeartMedia First Quarter 2025 Earnings Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. [Operator Instructions] At this time, I would like to turn the conference over to Mike McGuinness, Head of Investor Relations. Please go ahead.
Mike McGuinness: Good afternoon, everyone, and thank you for taking the time to join us for our first quarter 2025 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to our press release, we have an earnings presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our financial performance and operating results. These statements are based on management's current expectations and actual results could differ from what is stated as a result of certain factors identified on today's call and in the company's SEC filings, including our recent 8-K filing. Additionally, during this call, we will refer to certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release, earnings presentation and our SEC filings, which are available in the Investor Relations section of our website. And now I'll turn the call over to Bob.
Bob Pittman: Thanks, Mike, and good afternoon, everyone. I know all of you are trying to read the tea leaves on this advertising marketplace in this uncertain environment and so are we. At this point in time, we're seeing generally stable ad spend, but we of course continue to monitor it closely due to the lack of visibility. Even with that lack of visibility, let me remind you that over the past few years, we've repeatedly shown our ability to take quick and decisive action on both cost and growth opportunities for the benefit of both the immediate and long-term and to leverage new technologies that significantly reduce our operating expenses without reducing our capabilities. We remain committed to identifying opportunities across our organization to operate more efficiently and take advantage of new and evolving technologies like programmatic and AI, which are critical to delivering short-term results and long-term growth even during periods of economic uncertainty. Now let me jump to the financial results. In the first quarter, we generated adjusted EBITDA of $105 million, flat to prior year and consistent with our previously provided guidance. Our consolidated revenue for the quarter was up 1% compared to the prior year quarter above our guide of down low single digits. Excluding the impact of political, our consolidated revenue was up 1.8%. Turning to our individual operating segments. The Digital Audio Group generated first quarter revenue of $277 million, up 16% versus prior year. The Digital Audio Group generated first quarter adjusted EBITDA of $87 million, up 27.8% versus prior year and the Digital Audio Group's adjusted EBITDA margins were 31.4% compared to 28.5% in the prior year making continued progress toward our stated goal of achieving adjusted EBITDA margins in the mid 30s. Within the Digital Audio Group, our podcast revenue grew 28% compared to prior year, well above our revenue guidance of up high teens. We're beginning to feel the flywheel effect of being the strong number one in podcast publishing. Our podcasting financial discipline and our focus on the high margin podcast publishing sector continue to fuel what we believe is the most profitable podcasting business in the United States and to accelerate our growth. Importantly, our podcasting EBITDA margins remain accretive to our total company EBITDA margins. Our non podcast digital revenues grew 8.7% compared to prior year. Turning now to the multi platform group, which includes our broadcast radio, networks and events businesses. In the first quarter, revenue was $473 million, down 4.2% versus prior year and excluding the impact of political advertising revenue was down 3.4%. The Multiplatform Group's adjusted EBITDA was $70 million, down 9.3% versus prior year. Let me share with you a data point from this quarter which we believe illustrates the progress we're making in moving our broadcast radio business back into growth mode. Included in our Multiplatform Group is our premier broadcast radio networks business which sells broadcast radio advertising with national reach instead of market-by-market or local advertising. Our Premiere Broadcast Networks revenue returned to growth in Q1 and was up 2.1% compared to prior year. We believe this is an important indicator of the growing strength broadcast radio has among national advertisers and evidence of the progress we're making in returning broadcast radio to revenue growth. Additionally, we continue to increase our share of the radio industry advertising revenue pie. In the first quarter, iHeart grew to 40% of the advertising revenue and markets measured by Miller-Kaplan. Given our audience reach plus the investments we've made in ad tech and data coupled with the fact that we have the largest sales force in audio, we expect that share growth to continue. Turning to the Audio & Media Services Group, revenue was $59 million, down 14.2% year-over-year and adjusted EBITDA was $16 million, down 33.3% and most of that decline was driven by Katz Television. Excluding the impact of political, the Audio & Media Services Group revenue was down 11.8%. In summary, we believe we're demonstrating: one, our ability to generate positive financial results even in an uncertain environment; two, our continued podcast outperformance as we submit our number one leadership position; three, our commitment to reignite growth in our broadcast radio business; and four, that our modernization program remains on track to generate $150 million net savings in 2025, driven primarily by technology and AI. And now I'll turn it over to Rich.
Rich Bressler: Thank you, Bob, and good afternoon. Our Q1 2025 consolidated revenue was up 1% year-over-year, above the guidance we provided of down low single digits due to March coming in slightly better than we were expecting in both our Multiplatform and Digital segments. Let me provide you with some additional granularity on our advertising revenue performance this quarter. As a reminder, we have no advertising category greater than about 5% of our total advertising revenue and no individual advertiser that is more than 2% of our total advertising revenue. In the first quarter, our top five largest advertising categories in terms of total revenue were health care, financial services, homebuilding and improvement, entertainment and auto. In terms of gains and declines in absolute dollars, as you can see on Slide 9, the four largest gains in the first quarter were professional services, tech and telco, beauty and fitness and education. And the four categories that declined the most were restaurants, auto, gambling and political. Our consolidated direct operating expenses increased 4.4% for the quarter. This increase was primarily driven by higher variable content costs associated with the growth in our digital business, including higher podcast profit sharing expenses and third-party digital costs, partially offset by a decrease in employee compensation costs in connection with our modernization initiatives taken in 2024. Our consolidated SG&A expenses decreased 1.1% for the quarter, driven primarily by our modernization initiatives, including decreased employee compensation costs, partially offset by an increase in employee health and benefit expenses, including the reestablishment of the 401-K matching program during the first quarter of 2025 and additional bad debt expense. We generated first quarter GAAP operating loss of $25.4 million compared to an operating loss of $34.7 million in the prior year quarter. We generated first quarter adjusted EBITDA of $105 million flat to prior year and at the midpoint of our previously provided guidance range. Before I turn to our segment performances, I wanted to spend a moment on the modernization initiative we announced on last quarter's call. As a reminder, these actions will generate net savings of $150 million in 2025 when compared to 2024, and our Q1 results included the benefit of $27 million of net savings. This quarter, we have included a slide in our investor presentation, Slide 5, that provides a few different ways of identifying the cost savings, including by segment, function and type. Hopefully, this level of granularity is helpful as you update your models. Turning now to the performance of our operating segments. And as a reminder, there are slides in the earnings presentation on our segment performances. In the first quarter, the Digital Audio Group's revenue was $277 million, up 16% year-over-year and above our guidance of up low double digits. The Digital Audio Group's adjusted EBITDA was $87 million, up 27.8% year-over-year and our Q1 margins were 31.4%, up from 28.5% in the prior year. Within the Digital Audio Group, our podcasting revenues were $116 million, which grew 28% year-over-year and well above the guidance we provided of up high teens. Podcasting's strong Q1 performance with its high EBITDA flow through help expand the segment's Q1 adjusted EBITDA margin by nearly 300 basis points compared to prior year. Our first quarter non podcasting digital revenue grew 8.7% year-over-year to $161 million. The Multiplatform Group revenue was $473 million, down 4.2% compared to the prior year and in line with our guidance of down mid single digits. Excluding the impact of political revenue, our Multiplatform Group revenue was down 3.4%, adjusted EBITDA was $70 million, down 9.3% from $77 million in the prior year quarter. Multiplatform Group's adjusted EBITDA margins were 14.8% compared to 15.6% in the prior year quarter. Turning to the Audio & Media Services Group, revenue was $59 million, down 14.2% year-over-year and adjusted EBITDA was $16 million, down 33.3% from $24 million in the prior year and most of that decline was driven by Katz Television. Excluding the impact of political, the Audio & Media Services Group revenue was down 11.8%. At quarter end, our net debt was approximately $4.6 billion, our total liquidity was $569 million and our cash balance was $168 million. Our quarter ending net debt to adjusted EBITDA ratio was 6.5x. In the first quarter, our free cash flow was a negative $80.7 million essentially flat to the negative $80.9 million in the prior year quarter. As a reminder, Q1 is our seasonal low point for free cash flow in the year and we expect to generate positive free cash flow in each of the remaining quarters in 2025. With Bob's comments on the advertising marketplace as a backdrop, let me now turn to our second quarter guidance. We expect to generate second quarter adjusted EBITDA in the range of 140 million to $160 million compared to $150 million in the prior year. We expect our consolidated Q2 2025 revenue to be down low single digits compared to prior year. Our April pacing was down 2% compared to prior year and down 1.4% excluding the impact of political. Turning to the individual segments for Q2, we expect the Digital Audio Group's revenue to be up low double digits with Podcasting revenue expected to grow in the low 20s. We expect the Multiplatform Group's revenue to be down mid to high-single digits. And we expect the Audio & Media Services Group revenue to be down approximately 5% due primarily to the impact of political advertising. The full year guidance we issued last quarter did not contemplate the current macro volatility we are all seeing. Therefore, for us to date our full year guidance, we will need some positive movement in the macro and improvement to the uncertainty in the back half of the year to avoid the possible negative impact on the advertising marketplace for audio. Now we will turn it over to the operator to take your questions. Thank you.
Operator: Thank you. [Operator Instructions] We'll go first to Stephen Laszczyk at Goldman Sachs.
Stephen Laszczyk: Hey, guys. Thanks for taking the questions. Maybe two, if I could. Bob, Rich, just on the ad market, I know you mentioned the lack of visibility that's out there in the moment. I'm curious if you could perhaps just add in a little bit of color to what you're seeing out there at the moment and conversations you're having with your ad partners. I would be curious to what extent they pulled back, after the tariff announcements over the last couple of weeks, to what extent you might be starting to see them reengage over the last couple of days here, especially post this morning. And I'm curious to what extent or what do think we need to get visibility to return to the ad market here over the next couple of weeks and months?
Bob Pittman: Well, I think the news like today is certainly helpful. And I think if you go back and look at the data point we had in for Premiere Networks, which is really our national advertising, we're up over 2% for the quarter. I think that's sort of an indication that the bigger advertisers were hanging in there and taking this in stride. I think the risk has been in the small and medium sized businesses, which were I think a little more subject to any sort of bad news. And again, I think improving news like today helps that and we feel better about it.
Rich Bressler: Yes. No, I wouldn't have anything to add. And I think just in terms of what you're seeing, I mean, we gave you the pacing numbers where we are through April. And again, you might as I remind -- we always remind all of ourselves every day our pacing is just a point in time. And just remember, when we gave guidance in Q1, we said that we were up 5% in January, down about 7% in February in terms of pacing at that point in time or finishing January. We said we would be down low single digits in revenue for Q1 and we were up 1% as you saw what we reported today. So that's why it's a data point, but again it's just a point in time.
Stephen Laszczyk: Got it. That's helpful. And then Bob, maybe a higher level question for you. I think you called out market share today, in and around 40% of the industry. I think investors think of you as a market share gainer, but I would just be curious if you speak a little bit more about the state of the terrestrial radio industry today and maybe what gives you confidence that you can take that market share from 40% today to something north of that over the next couple of years?
Bob Pittman: Yes. I think -- look, I think the fundamental issue with broadcast radio is we've got more listeners than we did 10 years ago, that the audience side of broadcast radio is just fine. This is a monetization issue that broadcast radio is facing. It's making the transformation from being a business that was sold as spots. And today, it's moving to electronic and digital platforms. And I think we're making that transformation. Our ad tech stack is moving along as expected. Programmatics certainly beginning to emerge for broadcast radio as well. And I think probably the biggest argument for the share gain is that given our size, what you're finding I think especially with the larger advertising partners is they want fewer partners, not more partners. And I think we are certainly would have to be partner number one. And what other partners they have in radio, I don't know. But I think that's probably beneficial to us as the industry consolidates.
Rich Bressler: Yes. And Steve, it's Rich. I might just add just two very quick points. One of, as you look forward, if you kind of go back over the last, whatever, 8, 9, 10, 11 years, we've consistently taken share of the broadcast mill from the capital standpoint. So I think hopefully, if you can give everybody comfort as they look forward, they can from a credibility standpoint, we've taken share going back. And number two, we have heard a feedback, which was very good about, okay, you've talked about audience more, can you give us data points in terms of broadcast. And that's what we shared with you today that Bob just articulated with respect to Premiere Networks.
Stephen Laszczyk: Great. Thank you both.
Operator: We will move next to Sebastiano Petti at J.P. Morgan.
Sebastiano Petti: Hi. Thanks for taking the question. Podcasting in the first quarter coming through better-than-expected. Second quarter guide, Rich, talks about you're guiding to a continued acceleration in the 20% range plus. Help us think about what's underlying that. Obviously, you guys have been a leader in podcasting for quite some time, but we hear the narrative about consumption moving to video and video podcasting, YouTube now a larger player in the market. So any color around what's driving that and how you guys continue to accelerate that top line? And then one other kind of more thematic broader kind of question. I think, Bob, you said healthy for the market to consolidate. Maybe thinking about consolidation from a different angle. There is a bit of fair bit of focus on broadcast deregulation in the local TV space. How might radio be impacted if there isn't loosening up of ownership rules? Does that change how you guys view yourself as a buyer or seller of assets? Thank you.
Bob Pittman: Let me start with why podcasting. I think it starts with the fact that we've got the podcast people want to listen to. We've got a large podcast audience and it's growing. If you look at Podtrac, which measures podcast listening, not only do we do extraordinarily well overall, I mean a pretty substantial lead over the second largest podcast publisher, but we've also got it diversified across all 19 categories of podcast listening as measured by contract. So I think it starts with that. And second, when you get into how are people looking at podcasting, the vast majority want to listen to podcast. Are there some people who prefer to watch a podcast? Well, I think at that point, it's not really so much a podcast as much as it is a video show. And certainly, there's that goes on. Look at the success of YouTube, but I don't think that's the podcasting business per se. I mean, I understand that YouTube would like to take some of that podcasting revenue, and I don't blame them. But I think, again, the consumer is spoken. And so although we look at it and watch it carefully, I think we're in exactly the right position and feel very good about it.
Rich Bressler: Yes, Sebastian, just I would -- first question, just maybe to pick up on what Bob articulated. And just as a reminder, from a strategic standpoint, a number of years ago, which obviously turned out to be an important decision for us, we didn't go behind the paywall. We want to make sure all our podcasts were available anywhere. We carry everybody else's podcast. We just want to get the biggest inventory, and we want to monetize the most efficiently. And Bob talked about, within our company, we've got approximately 1,000 sellers on the ground that are selling everything anywhere, anytime, and that includes podcast. So you really have 1,000 person ad sales force spread out across the United States in our 150 plus offices selling. We've talked about our ad tech that we've built up over the years, the ability to place it and monitor them and to report on them across all of our platforms. So again, when you look at this is not just something we started 3 or 4 days ago or 3 or 4 months ago or 3 or 4 years ago. I think you're seeing the accumulative effect. And quite frankly, I think, most importantly, with all the capabilities we have is the demand that we have out there. And if you see it, the efficiency and the effectiveness of podcast, and I know we've said this before, is bigger advertisers or our biggest advertisers have only recently, over the last couple of years, really started to struggle with podcasting. And the reason why that's so important is bigger advertisers spend bigger dollars there.
Bob Pittman: And look, I want to add one other point is, and we've talked about it before, but it's worth repeating here that podcasting is probably radio on demand, just like Netflix is probably TV on demand. It's an adjacent business to radio. So we have a natural advantage here, not only have an advantage in terms of creation and knowing how to do it and having the resources to do it, but we also have this incredible promotional vehicle called broadcast radio, where we're able to advertise these podcasts, promote them, talk about them to an audience that is very audio centric anyway and understands what we're doing here. So again, I think that is the sort of natural advantage for us.
Rich Bressler: Yes. And by the way, just on your second question, I think it's something with respect to regulation, whether it's any of the license industries. I guess you're asking about FCC license industries. Obviously, none of us have noticed the dominance from rural reading the same press. But from our standpoint, we already reached 90% plus of the country, [indiscernible] Americans. Bob highlighted our greatest in terms of our strength is that our broadcast listening is higher than it was 10 years ago out there. So we've got a great footprint within the U.S. I don't see anything of that will affect our operating strategy at all.
Sebastiano Petti: Thank you both.
Operator: We will move to our next question from Aaron Watts at Deutsche Bank.
Aaron Watts: Hi, guys. Appreciate the expanded slide deck and thanks for taking the questions. I've got two, if I may. First on the costs, was the $27 million of cost savings you mentioned for first quarter run rate or actual impact in the quarter? And how should we think about the cadence of the balance of the savings coming through the rest of the year? Any lumpiness on the way to 150 at year-end?
Rich Bressler: Aaron, thanks for that, and thank you for the comment on the slide. So the $27 million you shouldn't think about as run rate. Again, if you think about our costs and costs kind of supporting revenues, then you'd expect them to kind of the cadence speed along with the business. But I think at a high-level, if you thought about them $27 million in Q2 and then $40 million per quarter in each of the next three quarters, that would be kind of a good to think about those costs. And that comes basically to the 150.
Aaron Watts: Okay. That's helpful. And Rich, should the revenue environment slow? I know that's not what we're hoping for. But if it happened, are there additional cost rationalization opportunities that could be identified?
Rich Bressler: Yes. Yes. I think, [indiscernible] one is we did in the deck, as you pointed out, I think it's Slide 5, that goes through some more details on cost. So I think what's important about that slide is that people look at it and look at the number of levers that Bob and I and the rest of the management team could focus on. And I think also Bob mentioned in his opening remarks that we've repeatedly, I think since we've been here, shown the ability to be -- look at opportunities. By the way, a big part of that is just constantly looking at taking advantage of AI technologies, making things more efficient for both the medium and long-term, leveraging new technologies and at the same time, make sure we've been talking about podcasting, make sure we continue to feed our winners and continue to feed our growth opportunities. And I think that balance is why you're seeing just as a tangible example, what you're seeing in podcasting revenue growth.
Aaron Watts: Okay. That's helpful. If I could squeeze one last one in, and again, appreciate the time. Nielsen updated its ratings methodology recently. I'm curious your early observations on that and whether the new way of looking at listenership is resonating with advertisers?
Bob Pittman: Well, I think the most important thing is that and we're excited about it is that Nielsen is making a priority to try and capture all the listening that's really happening. Not only is that important in terms of will it show us more listeners, but as advertisers do these econometric models, the media mix models, what's important is that when they see a signal of a purchase, a buy, they look back and see what caused it. If the -- if Nielsen is under measuring our listening, they don't show that person makes it worse. We don't get credit, and someone else gets credit for what we did. So I think it's a step forward with Nielsen in terms of let's make Nielsen more representative and more accurate, for us to use, not only in terms of pricing and selling our products, but also in terms of the value for these sub media mix models.
Aaron Watts: Thanks, Bob. Thanks, Rich.
Rich Bressler: Thank you, Aaron.
Operator: Next, we will move to Patrick Sholl at Barrington Research.
Patrick Sholl: Good afternoon. Thank you. I was just curious if you could talk a little bit on the adoption of transacting programmatically, if there's any sort of difference across categories and how that contributed to the Premiere Networks revenue trends?
Bob Pittman: I don't think at this point it was material in terms of the performance of Premiere. I think that was probably more of an indication of how did the big national advertisers that are buying national footprint look versus the SMBs. But we continue to make great progress. As you know, we've already pretty much got our digital inventory up and running on most of the important platforms for programmatic and seeing some revenue coming in there. The big push for us is to get our broadcast inventory up on these as well. And I think we're making good progress there.
Rich Bressler: Yes, and I think we announced last quarter in addition to being in Magnite about getting broadcast, just to be clear, inventory into DB360 [ph] and Yahoo and we can continue to work with the other DSPs and recognize in terms of where the advertising marketplace is going, and we're adapting to that.
Patrick Sholl: Okay. Thank you. And then maybe just one last on podcasting. On the growth in the quarter, I guess, much of that comes from just increased rates on the impressions you're delivering versus growing the amount of impressions?
Rich Bressler: It's both. We don't. It's both. I would say it's -- if you think about it just apples-to-apples year-over-year, that is nothing unusual at any one-time item in the numbers. It's just both coming from both volume and from rates on both. But remember, we've got such a wide purview in terms of the number of podcasts we have, the number of downloads from our biggest downloads to smaller downloads out there. And we have -- as I will repeat it, we have 1,000 people selling it every single day out there selling podcasts along with the rest of our products. So it's a combination of both.
Patrick Sholl: Okay. Thank you.
Rich Bressler: Great. Just I'll pause for a second, make sure there are no other questions. And if there's not, thank you very much on behalf of Bob, myself, the rest of the management team. And we, along with Mike McGuinness and the team, are available for any follow-up questions. Thank you all.
Operator: And this conclude today's conference call. Thank you for your participation. You may now disconnect.